Unknown Executive: Good morning, everyone. This is [ Jane Brampton ], Investor Relations at Hillgrove Resources. Welcome, and thank you for joining the Hillgrove Resources December 2025 Quarterly Update. [Operator Instructions] I will now hand over to Mr. Bob Fulker, CEO and Managing Director at Hillgrove Resources.
Robert Fulker: Thank you, Jane, and good morning, everyone. Thanks for joining the Hillgrove Resources 2025 December Quarterly Results Webinar. I'm joined on the call today by Luke Anderson, our CFO. And for those who have been on previous calls, we're on a new platform today, and this is part of our investor engagement improvement program, which includes easy access to up-to-date information and releases. 2025 year of disciplined delivery -- was a year of disciplined delivery. The copper production of 11,315 tonnes landed within our production guidance range of 11,000 to 11,500 tonnes. All-in costs for the year came in at USD 4.29 per pound, positioned at the lower end of our 2025 cost guidance range. Operating mine cash flow for the December quarter was back up to $12.7 million, with a full year operating cash flow at AUD 35.8 million. During 2025, we invested $21 million in major capital and $20.5 million in sustaining capital to increase the Kanmantoo's mining footprint through the early development of Nugent decline and increasing the Kavanagh decline advance rates. These are the first steps to increase our mining rate up to the 1.8 million tonnes per year during 2026. More importantly, it gives us the ability to increase our copper production up to our new guidance, which has a top end range of 14,000 tonnes of copper plus gold, delivering real growth for Hillgrove shareholders. For 2025 full year, when compared to 2024, we delivered a 38% improvement in development meters, a 57% improvement in mine tonnes, and a 26% improvement in copper tonnes. Whilst we do not require the same percentage improvement in delivery as last year to deliver our 2026 guidance, it is still a year where we are growing copper production throughout the year. The second half is a larger delivery half than the first half. We are seeing daily instantaneous mining rates at those required to deliver the 1.8 million tonne rate, but we remain vigilant to not outmine our development rate. Operationally, the December quarter delivered a number of highlights. Over 700 meters development advanced per jumbo for the quarter. We are starting to build inventory. 402,000 tonnes of ore mined since we started the underground and 410,000 tonnes processed. Delivery of just shy of 3,000 tonnes of copper produced for the quarter. As mentioned last quarter, we are looking -- we are working our way through the Kavanagh pinch zone, and we expect to see improved grades over the coming quarters. In 2026, you'll start to hear us referencing a copper equivalent number more frequently. This number has become more relevant as Nugent stoping has commenced. During 2025, gold and silver production has been increasing. And when added to the 2025 copper production, this would equate to something between 12,500 and 13,000 tonnes of copper equivalent tonnes. More importantly, going forward, the total copper announced in our guidance today will significantly be supplemented by Nugent gold production during 2026. During the December quarter, we delivered 753 ounces of gold with a full year production of 2,249 ounces of gold. The Emily Star incline progressed 23 meters during the December quarter. This will progress over Q1 in 2026, and we'll start diamond drilling Emily Star during the first half of this year. There were 2 major milestones delivered during the December quarter at Nugent. Firstly, Nugent Stope ore produced -- production commenced on the 15th of October, ahead of schedule. And secondly, the Nugent Decline broke through on the 19th of December, connecting the Nugent and Kavanagh mining areas as planned. Nugent mine provides a second ore source, positions the operation to deliver a mining rate of 1.7 million to 1.8 million tonnes per annum during the first half of '26. And this uplift in mining rate is expected to reduce our all-in sustaining cost unit rates during the second half of 2026. In the December quarter, we released our second annual underground resource and reserve estimate update. The 2025 mineral resource and ore reserve delivered a 43% increase in ore reserve tonnes and a 14% increase in resource tonnes compared to 2024. The updated ore reserve now stands at 4 million tonnes with 34,000 tonnes of copper and 29,000 ounces of gold. The mineral resource increased to 22 million tonnes, containing 160,000 tonnes of copper and 120,000 ounces of gold. The updated mineral resource includes a maiden underground mineral resource estimate for the Valentines area. Importantly to note, of the 69,000 meters of underground diamond drilling completed during 2025, only 29,000 meters were incorporated in the 2025 mineral resource and reserve update. The remaining 40,000 meters will be incorporated in the planned December 2026 update. Kavanagh drilling continues to return significant intercepts, 25 meters at 1.82% copper and 14 meters at 2.44% copper. We are still waiting gold assays for these results. These intercepts do demonstrate a material expansion of the East Kavanagh zone. Subsequent to the quarter, we received assay results for the final 2 drill holes at Emily Star. Significant intercepts included a 7.25 meter at 1.6% copper, 0.07 grams gold and 6.3 meters at 1.34% copper, 0.08 grams per tonne gold. These results further confirm the presence of high-grade mineralization at Emily Star and reaffirm our decision to commence the Emily Star exploration drilling drive. Advancing Emily Star is a potential third ore source and will be a key priority through 2026. On the 2026 guidance, copper production is forecast to increase to 12,750 tonnes to 14,000 tonnes of copper, reflecting the benefits of the Nugent operation there in production. Costs are forecast to ease in the second half with all-in sustaining costs set between AUD 5.75 and AUD 6.25 per pound of copper sold, noting the all-in sustaining cost range is quoted in Australian dollars. Major capital in 2026 will continue at a modest range of AUD 8 million to AUD 10 million, and this will predominantly be to install the Emily Star and the North Kavanagh exploration inclines and complete the underground drilling for Emily Star and the surface drilling for the Kavanagh depth extension. An investment decision to enter Stage 2 development of Emily Star will be made after drilling results are analyzed and an economic assessment is completed, and I expect this during the second half of 2026. To close, 2025 was a year of strengthening the underground operation, building the stability and capacity required to accelerate growth in 2026. I'll now hand it over to Luke, who will talk through our financials.
Luke Anderson: Thanks, Bob, and good morning, everyone. I will now walk you through the financial performance for the December quarter. All amounts I refer to are in Australian dollars, unless otherwise stated, and all unit cost metrics are calculated on copper payable pounds sold. The December quarter capped off a year of strong operational progress. The headline items were the highest quarterly copper production of 2,962 tonnes was achieved at an all-in sustaining cost of USD 4.03 per pound or AUD 6.30. 3,121 tonnes of payable copper was sold at an average realized price of AUD 14,754 per tonne. 2025 all-in costs of USD 4.29 per pound were at the lower end of the guidance range of USD 4.20 to USD 4.45 per pound. And operational cash flow of $12.7 million was generated during the quarter for a cash balance of $20.6 million at quarter end. Now moving to the detail. All-in sustaining costs for the quarter decreased slightly to USD 4.03 per pound compared to the September quarter. On an absolute cost basis, our all-in sustaining costs increased quarter-on-quarter due to a number of factors: an increase in mining rates, a drawdown in stockpiles during the quarter, which reduced the inventory credit relative to September; and finally, a number of one-off costs, including stock write-offs and unplanned plant maintenance. Our all-in costs, excluding Nugent acceleration, were USD 4.44 per pound for the December quarter, bringing 2025 overall all-in costs to USD 4.29 per pound, which was within FY '25 guidance. The average realized price for copper sold during the quarter was AUD 14,754 per tonne, which included delivery into a number of lower-priced hedges. The quarter-on-quarter increase in copper payable tonnes sold from 2,422 tonnes to 3,121 tonnes reflected our highest copper production for the quarter of 2,962 tonnes and a decrease in concentrate inventory. Copper prices strengthened throughout the period, reflecting a combination of tightening supply conditions and resilient demand. On the supply side, disruptions in key producing regions and reduced output from several major mines contributed to a tighter concentrate market. At the same time, demand remained firm, supported by ongoing investment in electrification, grid infrastructure and the rapid build-out of data centers, which has emerged as a meaningful new source of copper consumption going forward. Now the company's liquidity, which is made up of cash receivables and unsold concentrate was $30.8 million at 31 December. The cash balance was $20.6 million with an additional $4.1 million received in the first week of January from the concentrate sale on the last day of the quarter. Operational cash flow of $12.7 million for the quarter took the total year to $35.8 million. The company invested $10.5 million in capital expenditure during the quarter with $4.3 million in major growth capital, which included $4 million on Nugent development and $200,000 on the early stages of Emily Star. The total Nugent project expenditure ended up at $21 million, in line with project budget. The company completed an equity capital raise for $28 million on the 30th of September 2025, with the funds received during the quarter of $26.2 million net of costs. Moving to hedging. The company maintains a prudent hedging policy covering roughly 1/3 of our forecast production to protect the proportion of fixed costs against deterioration in copper price. The company currently has 3,560 tonnes of copper hedges outstanding at a weighted average price of AUD 14,459 per tonne, scheduled for delivery from January through to September 2026. No new hedges were entered into during the quarter. Now to summarize. Copper produced for the year was 11,315 tonnes, was within guidance of 11,000 to 11,500 tonnes. All-in costs, excluding the Nugent acceleration project for the year of USD 4.29 per pound was within guidance of USD 4.20 to USD 4.45 per pound. The company maintains a strong cash balance of $20.6 million at year-end to fund the continued growth of the company. On 2026 guidance, copper production is forecast to increase to 12,750 to 14,000 tonnes with Nugent now in production. Costs are forecast to ease in the second half of 2026, reflecting the increase in mining rates. All-in sustaining costs are set to be between AUD 5.75 and AUD 6.25 per pound of payable copper sold, with additional major capital forecast at AUD 8 million to AUD 10 million. I'll now hand back to Jane for questions.
Unknown Executive: [Operator Instructions]
Robert Fulker: So we've just got a question from Sam Catalano on our cost guidance. I won't try to repeat what Sam says, how he says it, but he's asking why the range is where it is, and it looks a little bit conservative. Luke, do you want to take that one?
Luke Anderson: Look, I think the main thing about cost going forward is that we're certainly seeing, as we head into 2026, an increase in mining rates activity. We are going to see more moving between -- towards sustaining capital rather than major capital, which we saw compared to 2025. So that will have an impact on all-in sustaining costs. There were some -- also some one-off costs in December quarter for 2025 in relation to some stock write-offs and some unplanned maintenance in the plant. So look, we'll certainly be working hard to reduce those costs in the second half of next year as the mining rate increases and production increases.
Unknown Executive: Thank you, Luke. We've got online Chris Drew from MST. Chris has submitted 2 questions. First one, how much gold production on top of copper? What grade and recovery should we be thinking there?
Robert Fulker: Thanks, Chris. Gold this year, as I mentioned in my speaking notes, was just over 2,000 ounces for the year. Next year, I expect that the gold grade in the first half of the year will be almost the same as this year, but the tonnes will be going up. But the second half of the year, we expect to see nearly doubling of the gold grade in our production purely because of the Nugent tonnes coming through. So we do expect to see a significant rise in the gold produced this year, and it will be well above that 2,000-odd ounces that we produced this year. From -- what was the second half, sorry?
Unknown Executive: Yes. The second half is what rate and recovery should we be thinking there?
Robert Fulker: So the recovery, at the moment, we're still planning for 55% recovery of gold. But we're working in the plant on a couple of things to try and lift that, but we haven't baked that into any of our forecast or any of our numbers yet. So the 14,000 tonnes of copper top end of our guidance is with 0 gold credits into the actual copper as a copper equivalent. And I do expect that if we were to use a copper equivalent, that would be quite a bit higher than the 14,000.
Unknown Executive: Thank you, Bob. Chris has a follow-on question. Related to that, how have you factored in the impact from the pinch and swell zone? Presumably, you've learned a bit from this year around what you expect there now.
Robert Fulker: Once again, thanks, Chris. The geological interpretation as we've got it in the model is actually fairly accurate. It's plus or minus 5% overall. The pinch zone, what we've done going forward is we've started to model a 0 modifying factor on anything that's within a zone of tightening of the ore body. So we've actually taken any modifier out of those grades, and we're just using the straight model now. And we've also started to predict where the next swell and pinch zone is. As we go through these zones, they repeat fairly -- the frequency is fairly consistent. So in Kavanagh, it ranges around about 180 to 200 meters of swell and then we go into the next zone. And this is now, we're going into the fourth experience of this. So we're starting to be able to model it better every time we experience it. So I think to answer your question, Chris, going forward, we've actually got this modeled into our plan for this year. We've got the Kavanagh fairly well modeled, Nugent. We think we understand where the first one and the second one is, but we're drilling that now. So we'll be able to include that. And we'll take the concept across Emily Star when we start drilling that as well.
Unknown Executive: Thank you, Bob. So following on a question from Chris again. What copper grade should we be thinking for 2026? And how will that evolve through the year?
Robert Fulker: So copper will range in the first half around about the 0.8% to 0.85%, then we have the gold on top of it. In the second half, it will lift a little bit to around about the 0.85% mark consistently through the second half of the year with a higher gold grade as well. But the tonnes are significantly back-end weighted in the year. The first half of the year, we are building to a 1.8 million tonne run rate, and then we'll do a 1.8 million tonne run rate for the second half of the year. So it will be significantly back-end weighted.
Unknown Executive: Thank you, Bob. [Operator Instructions] There are no further questions at this time from analysts. I will now hand back to Mr. Fulker for closing remarks.
Robert Fulker: Thanks, Jane. 2025 was a year of growth and stabilization. The focus moving into 2026 is clear: strengthen our safety performance, maintain our cost discipline, ramp up our production profile, advance Emily Star as a potential third ore source following encouraging early drill results, and invest our capital prudently. The exploration program is set and will feed into the third annual resource and reserve update once again during the December quarter, and we will continue to target replacement of depletion, resource growth and resource conversion. That concludes our conference today. Thank you for participating. And can everyone please now disconnect. Thank you, everyone.